Operator: Good morning, ladies and gentlemen. And welcome to the Neo Performance Materials Q1, 2023 Earnings Call. [Operator Instructions] This call is being recorded on Friday May 12, 2023. I would now like to turn the conference over to Ali Mahdavi. Please go ahead.
Ali Mahdavi: Thank you, operator, and good morning, everyone. Just as a reminder, a replay of this call will be available starting tomorrow in the Investor Center of our website at neomaterials.com. Joining me this morning are Constantine Karayannopoulos, Neo’s Chief Executive Officer; and Rahim Suleman, Neo’s President. Please note that some of the information you will hear during today’s presentation and discussions will consist of forward-looking statements, including, without limitation, those regarding revenue, EBITDA, adjusted EBITDA, product volumes, product pricing, other income and expense measures, cash returns and future business outlook, including potential expansion plans. Actual results or trends could differ materially from those discussed today. For more information, please refer to the risk factors discussed in Neo’s most recent financial filings, which were filed on SEDAR earlier today and are also available on our website. Neo assumes no obligation to update any forward-looking statements or information, which speak as of their respective dates. Financial amounts presented today will be in U.S. dollars. Non-IFRS financial measures will be used during this conference call. Further information regarding Neo’s use of non-IFRS measures is available in Neo’s yearend earnings press release, which is also available on SEDAR and on our website at neomaterials.com. With that, let me turn the call over to Constantine.
Constantine Karayannopoulos: Thanks, Ali. Good morning, everyone. Neo reported first quarter sales of $136 million, 18% lower than last year's first quarter with an adjusted net loss of $9 million. Adjusted EBITDA during the quarter was about $800,000. It's been about six weeks since our last conference call to report year end and it's no surprise the trends that we've been signaling for the past 12 months have continued. On the rare earth pricing front, prices continue to trend downward particularly near the end of the quarter. On the general and macroeconomic demand side, there has been a continuation of various demand interruptions which we've discussed at length in prior calls. I'll refrain from going in depth on COVID disruptions, the general economic temperament in China, the impact of Ukraine and Russia and the tepid improvement of automotive and semiconductor supply chains. Suffice to say, both pricing measures and near-term demand factors negatively impacted pricing, margin and volumes during the first quarter. Yet none of these factors appear to have staying power over the long haul. In fact, we expect the opposite to be the case. We're seeing signals of price stability and volume recovery in the second half of the year, a view supported and informed by positive comments from our customers. We expect pricing and volume pressure to continue through the first half, driven by persistent and rather annoying, I might add, inventory destocking. There's no denying that our bottom line performance over the past two to three quarters has been subpar. But we believe that we're approaching a reset at the midpoint of this year with a subsequent return to more normal levels of profitability. In the current period, many legacy programs continue to experience weak demand. This has been a common thread in the entire magnetics industry across automotive platforms, consumer appliances and advanced consumer electronics. Further factory automation, robotics demand has also slowed. Perhaps more importantly, the real estate and construction slowdown, particularly in China, has led to a serious drop in demand for a large permanent magnet application there in elevator and escalator systems. In each of these applications, slower demand has led to built-up inventory and continuing the downward cycle for underlying magnetic rare earth pricing over the short term. Higher interest rates have put pressure on returns for new win funds, further exacerbating a weak demand for rare earth magnets. But we are confident that this cycle will not only play out in the short term, but will return to a long term trend of sustained growth. Again, these are familiar dynamics for us on prices and volumes. The ups and downs of the rare earth industry run through cycles that include three to four year spurts with one to two year long runs up -- run ups in price associated with a flurry of activity, including quite a bit of distraction and noise. Then we typically see one to two year re-stabilization period. I believe that we're nearing the end of that re-stabilization period. The added dynamics from the global pandemic and continued lingering effects on global supply chains have truly been unprecedented in my 30 years in this industry. But through discussions with our customers, suppliers, non-government regulators, and with macro trends continuing to drive major technology and investment decisions by end customers, I have a high degree of confidence that we are approaching a new transition in that global demand cycle. The megatrend tailwinds for vehicle electrification, the electrification of everything, really, and the need for more advanced solutions to clean air and clean water technologies are apparent. So too is the need for further carbon footprint reduction and alternative energy solutions, including renewables. The growth from all these megatrends is deceptively slow. It doesn't appear through a breakout quarter or a break out year. But when looking back through the length of time, those trends have already made pretty big statements. As an example, the advent of pure battery electric vehicles may not feel as though the world is on track to achieve some auspicious target through 2030 and 2035. Achieving more than 10% to 20% saturation of new passenger vehicle sales even in China doesn't feel like a huge number when you see less than one out of ten cars on average on Chinese roads that have the green EV license plate. On the other hand, when I was walking through Shanghai last week, it felt more like two and five were big numbers of EVs driving around Shanghai and then that increases as you go further down the coast, the east coast of China. Over a five year period, however, it's quite massive. Look at what we've seen with diesel automotive passenger vehicles in Europe. Just five years ago, diesel vehicles accounted for about half of all new cars sold in Europe. Last year, that number was 16%. That's nearly a 20% annualized decrease. And those drivetrains have shifted to a combination of more complex hybrid technologies and new EV technologies that both require advanced engineered performance materials from Neo. So I'll refrain from anticipating a hockey stick style growth rate to begin later this year. But I do believe that overall consumer demand, industry inventory and global supply chain dynamics are going through a reset. In the back half of this year, we should start to see a more favorable operating environment for our rare earth and magnetic businesses. In the big picture, rare earth pricing today remains relatively attractive compared to what we saw as the norm 5 to 10 years ago. At today's prices, demand for rare earth and specialty materials remain at a healthy level. There is no question that prices today continue to encourage utilization of these materials. Engineers at OEMs and Tier 1 and Tier 2 suppliers are more comfortable designing these superior materials into long-term solutions for automotive, aerospace, electronics and healthcare devices at current pricing levels. I'm proud of the fact that for the majority of customers applications, Neo's highly engineered products are the preferred technical solution. Where alternatives may exist to utilizing rare earth, those alternatives are associated with clear negative economic tradeoffs. For example, a permanent rare earth magnet used in an automotive battery cooling pump motor will be smaller, more efficient and weigh substantially less than a standard Ferrite magnet based alternative. In automotive battery engineering team could choose the less efficient option, but that adds weight and less efficiency at current prices and even somewhat higher rare earth magnet and even somewhat higher prices, rare earth magnet motors are the clear preferred alternative. While one of these motor changes may not appear to have a large impact, multiplying those inefficiencies across 60 or 100 motors in a vehicle has a demonstrable impact on the overall performance and driving range. It's a difference between launching a successful EV program or stumbling right out of the gate, thus having an underlying stable, healthy market to supply these critical materials such as rare earth permanent magnet, it is essential. My view is that today's market dynamics are setting us up for the start of the long-term stable and secular growth trend. And I believe this trend will be balanced through the addition of new supply mostly outside of China as China has become an importer of rare earth raw materials to meet the significant increase in demand. My message for shareholders is that we have built a truly unique business and operating model within the industry. No other company has the technical knowhow or successful experience designing and commercializing advanced rare earth technology solutions and no other company has the ability to service global customers in their local geographies given our supply chain optionality on all three major continents as well as both inside and outside China. These structural advantages lay the groundwork to deliver on our vision to be the world's leading supplier and manufacturer of advanced rare earth technologies. As we've done over the last several decades, we will continue to invest substantially in our human capital advantage and technical skill set advantage to ensure that we can power the next stages of growth. With that in mind, we're pleased to have recently announced the 90% acquisition of SG Technologies Group Limited or SGTec in the UK. SGTec has long been a customer of a Magnequench group for highly technical and challenging, difficult to make bonded magnetic powders and compounds. The concept of expanding into a vertical channel and moving up the value chain can be enticing, but the attractiveness of SG goes well beyond the typical value chain play. Our R&D technical and commercial teams of Magnequench have had the pleasure of jointly developing industry leading magnets and magnetic assemblies over the past few years. Collectively, SGTec's nearly 200 employees have some of the best permanent magnet and electric motor knowledge in the world. That has enabled SGTec to introduce to its customers novel, high performance magnets and magnetic assemblies that simultaneously ensure the performance of the application's mission critical requirement. The high efficiency performance of a fuel injector while also taking costs out of the supply chain. What SGTec has been able to accomplish is an intricate understanding of exactly how its magnet are utilized. Starting from scratch, they've consistently delivered value to their customers by improving the performance of not just their magnets but also the performance of the end product by providing novel complicated assemblies. SGTec’s proven track record in truly understanding both the limits of the material itself and the application. The working knowledge of the material has positioned SG to push the boundaries of what is possible compared to standard magnetic materials, whether bonded, soft, magnetic composites or otherwise. This is more important today than ever, as customers are seeking next level engineering improvements to meet market demand. That technical and innovation advantage has created very strong relationships with some of the world's largest and most well respected brands across the automotive and consumer electronics industries. SGTec's customers regularly involve SGTec whenever they develop new products or upgrade their existing product portfolios to, for example, meet even more challenging efficiency standards. This has been the case with SGTec and its Automotive Fuel injector business for one of the largest Tier 1 producers in the world. This methodical, collaborative approach and their take to innovation with key customers yields results. That is why SG sought out for repeat business and new programs and new platforms. In many ways, this mirrors the success in product innovation that Neo's R&D labs have achieved over the years. Because of our history of leading technological innovation, it is self-evident that we must do more than just establishing manufacturing capabilities and capacity. As the Magnequench business expands in Europe through our Electric Vehicle Magnet project in Estonia, we know that our customers will demand more continued innovation in both our products and services given the technical nature of our business. SGTec is a perfect fit for how we want to be able to serve these customers. Aside from the technological know-how and impressive human capital, SG has made substantial investments in its specialty manufacturing facilities in the UK that has allowed them to offer favorable proximity and supply chain efficiency to the European and North American customers. Common value set, combined with the strategic advantages of the SGTec business model, create a high level of confidence in the value of this business addition. With new product streams that further expand the Magnequench traditional product portfolio, we're establishing a foundation as the magnetic growth leader within Europe and North America. In just a few short years since Magnequench expanded into manufacturing bonded magnets through our operations in Tianjin and Suzhou. We have quickly grown to expand our magnet volumes by nearly fourfold and establish a growing position within magnet manufacturing. And we have maintained our position as the world's largest manufacturer of magnetic powders. With a new combination of innovation from SGTec, we believe we can further build upon the strong position within bonded magnets, especially in the attractive market for new energy vehicles and consumer electronics, where improved performance and consistency is an absolute necessity. Neo's largest strategy to develop and build a European Rare Earth Industrial Center of Excellence is advancing on all fronts. From the upstream side, we continue to expand and diversify raw material suppliers from outside of China. We have regular shipments now arriving from North America, Europe and Asia that can be tracked and validated to meet our demanding specifications. And we also continue the long journey to develop new resources. For the Sarfartoq Rare Earth project located in Greenland , we recently received approval from the Government of Greenland to transfer the exploration license at the project. I'd again like to thank the Greenland Government for their cooperation and vision for this project. They've been transparent and they've done exactly what they told us that we're going to do. A resource investor, any investor for that matter, cannot really ask for anything more from government leaders. Our centered Magnet project, to be built near Estonian facility, continues on track through its design and plans to break ground in the next little while. An announcement to that effect will be issued shortly. Our plan for Phase 1 production for capacity of 2,000 tons of center magnetic block for 2025 remains on track, as is our intent to expand to 5,000 tons per year in response to market demand shortly after that. Each of these areas of our long term plan to compete for growth, increased raw material diversification, expanded magnetic production to support electric vehicle growth, and investment in innovation and sustainable technologies. We're well on track to execute across all three strategies. We will continue to work through the short-term business cycle challenges, and we'll remain focused on executing our strategic growth plans. I'd now like to turn the call over to Rahim Suleman for a more detailed review of the quarter.
Rahim Suleman: Thank you, Constantine, and good morning, everyone. The first quarter of 2023 had three interesting dynamics at play Constantine alluded to the first two, which would be short term demand for rare earth price products, and, of course, pricing, where volatility has been quite severe. The third dynamic, which might feel a little counterintuitive, is that we've been able to return to a strong cash generation mechanism as a result of the lower pricing, which is now and will continue to run through our balance sheet. Let's take a look at each of those individually. First, in terms of customer demand across our business, we continue to see macroeconomic headwinds around the semiconductor chip crisis. In addition to this, the two layers of economic uncertainty came through from the impact of COVID in China. While this really started in December of 2022, when China lifted its zero tolerance policy, it led right into the Chinese New Year's Festival and into the balance of the quarter. The combination of COVID and the Chinese New Year substantially cooled the Chinese economy, particularly for durable goods. As a result, the entire permanent magnets industry and motor space has slowed dramatically. It's not uncommon to see magnetic suppliers in China, Japan or Europe that are off their normal trend line by 30% or even up to 50% lower than what would have been considered normal demand. Our product volumes at Magnequench were also down almost 25% during the quarter, which is a continuation of a slower demand trend from the past year. As Constantine mentioned, we believe that this lower demand trend will turn, and I don't think Neo stands alone in this view. The world of electrification is upon us, and there is a broad and vast consistency in view that rare earth permanent magnets are a critical item in every region and in a multitude of applications to achieve this goal. We are confident that this trend will turn back to positive in the short order. And be sustained over the longer term. In coordination with softer demand for magnetic materials in the near term pricing for these rare earth magnetic materials are also further down. Over the past 12 months, pricing for magnetic rare earths have declined by some 30% to 50% or even more. For example, neodymium has shifted from a high watermark of $190 per kilogram in March of 2022 down to than half of that in Q1 2023. And current pricing is still lower. While demand has slowed surrounding various macroeconomic factors, the supply of rare earth has actually increased as the Chinese mining quotas at the start of this year were increased by an additional 10%. This speaks to the long term need for more rare earth products while also contributing to easing of rare earth prices in the current period. The volatility of rare earth prices, and conversely, any stability of rare earth prices flows through our business model accordingly. We've discussed the lead lag effect on these calls in the past that we are processing higher cost past inventory purchases than the current replacement cost, and this is the main driver of lower margins. To be clear, the lower margins that we have been reporting are not fundamentally lower margins. Moreover, they are not even the expected level of margins at current rare earth pricing. Our current short term results are more driven by this lead lag effect and in Q1 in particular, a $6 million low of cost of market adjustment than the impact of lower rare earth prices generally. Though we speak of the four consecutive quarters of rare earth price declines, the current price is still higher than the prices from three to four years ago back, and you will see that Neo's margins were quite healthy in that time frame. It underlies the same point Neo's position as a value added supplier will generate margins at higher or lower rare earth prices. However, any short-term period has this continuing reporting dynamic of lead lag. It's a touch odd that we had six consecutive quarters of rare earth price increases, followed now by four consecutive quarters of rare earth price declines. So we appreciate that it's hard for folks to clearly see through this lead lag dynamic over this rather extended period of time. Let's turn to the third element, which is cash generation. Given our businesses are designed for exposure for different stages of the value chain, and we serve all global regions. We often hold inventory across C&O and Magnequench that effectively spans several months of rare earth pricing dynamics. When price inputs are relatively stable, our value added margin profiles remain consistent. When we show consistent cash generation. In periods of rising prices, like we saw in 2021, our accounting profit increases as we sell using lower cost inventory. And in those periods, our cash is consumed by rising inventory values. In periods of declining prices, like what we have seen today, our accounting margin profile is compressed and importantly, our inventory value begins to unwind and we will convert inventory into cash as lower price raw materials enter our warehouses. In the three months ended March 31, 2023, we generated an increase in net cash of $12.2 million. And I would note that this generation of net cash is after considering the $5 million investment in capital additions and $3.4 million returned to shareholders and dividends in the quarter, operating cash generation before those items would have otherwise been about $20 million. During the quarter, our working capital decreased by $24 million, driven primarily by inventory, which decreased about $26 million, including in that reduction of inventory is lower cost of market adjustment, which accounted for about $5.6 million on a consolidated basis, which was driven primarily by our C&O segment. The LCM is not added back to adjusted net income or adjusted EBITDA figures reported, although it is not a continuing impact. Looking at individual business unit performance, although we won't spend too much time repeating the trends that we spoke in our last call, for Magnequench, we experienced lower volume demand profile, which is significant, but better than many others in the magnetics industry. Our commercial teams have been successful in winning new pieces of business and platforms for consumer electronics, power tools and automotive, especially for fully formed bonded magnets, which experienced sequential growth. But this wasn't enough to overcome general softness in China. Our magnet manufacturing business continues to grow, and we continue to drive more value added margins there. And our Q1 2023 sales volumes were about equal to the entire year of annualized sales that we had in 2019, when we first invested in magnet making capability. Magnequench continued its production cost rationalization efforts in the quarter which will lead to additional manufacturing and cost benefits and better margins in the future. Within C&O, our performance was largely driven by rare earth demand and pricing during the quarter, particularly for the magnetic rare earth elements. These are primarily driven by the macro comments already discussed within China and magnetic materials. And of course, the lead lag dynamic which we discussed earlier, is more prevalent in C&O, which recorded $6.4 million of the LCM. Environmental catalysts were slightly off our prior year volumes, but driven by the demand situation in China. This is expected to stabilize and improve as automotive purchases begin to be stimulated at the provincial level there, and although we saw significant declines in China volumes this quarter, this was offset by growing volumes in the other regions, noting that we sell our catalysts into all regions of the world. On a related note, our new environmental catalyst manufacturing facility in Zibo remains on track with construction underway now and as we're entering into the seasonally warmer spring months. Last, our Rare Metals’ business continues to perform admirably with another great quarter completed. The resurgence of aerospace manufacturing continues to place very high demand on specialty refractory metals, with the price and demand of Hafnium remaining at all-time highs. This has led to another strong quarter generating EBITDA in rare metals. Given this outperformance, we again had to revise our valuation of the put option for the noncontrolling interest in Boost and Boost which was recorded in the finance section of our P&L. Again, this reflects the underlying fact that the derivative liability to repurchase the remaining interest in Boost is worth more given its strong performance. Our cash and cash equivalents were $147 million inclusive of the $25 million first loan tranche for a new environmental catalyst project that we received last year, and our net cash was $113 million. As mentioned earlier, we invested $5 million in CapEx and $3.4 million in dividends. And despite these investments, we generated additional net cash of $12.2 million in the quarter. It's also worth noting that our net cash plus net working capital is over US $300 million. And as always, all figures that we're talking about today are in US dollars, except for our share price, which is in Canadian. But this amount alone is greater than the market cap of Neo in recent periods. Of course, on top of just working capital, we also have significant investments in capital assets, including three rare separation plants, three magnetic plants, four rare metals plants, and of course, the investments we've made just recently in SGTec in Greenland. As we employ those assets, we have a resulting strong business model focused on value added margins, long term relationships with customers, a long history of profitability, and a sophisticated product set with new products in the R&D pipeline. We have extensive investments in manufacturing plants in low cost jurisdictions with unique rare earth separation and magnetic supply chains both inside and outside of China. Neo is both positioned uniquely and well equipped to drive significant shareholder value going forward. With that, I'd like to turn the call back to Constantine for closing remarks.
Constantine Karayannopoulos: Thanks, Rahim. Before opening the call up for questions, I'd like to make one final comment. Some of you have seen a news release this morning announcing my retirement from CEO at Neo, effective July 7, with Rahim taking over as the new CEO. So this will be my last quarterly earnings call as CEO, and I intend to retire for the third time, but this time for good. I wish I was making these comments after a better quarter, but we can only control what we can control. I've been involved with Neo for the past 30 years, and over the past few months, I've had the opportunity to revisit old friends and colleagues around the US, Europe, Japan, Korea, Singapore. And just last month, after almost four years in China. It helped bring back fantastic memories of setting up the original AMR rare earth business. Back in August 1993 when I walked into the plant, we ended up buying the controlling interest in, you could not see the back of the production workshops, 20 to 30ft away from the door that was because of all the acrid fumes. I had to hold my breath in order not to breathe all those fumes. I felt like I was walking through scenes from Dante's Inferno. Today it is very different. It's been extremely gratifying to walk through the same plants again. These plants are now modernized and operate as industry leaders in sustainability and environmental performance. They are the preferred and chosen suppliers of high performance products for some of the most sophisticated, demanding companies on the planet. It's been fascinating to see this business grow from a startup in 1993 into the robust, resilient and indispensable materials technology company it is today. We employ almost 2,000 exceptionally gifted, dedicated and hardworking colleagues around the world who develop, produce and supply mission critical materials and components to some of the most demanding and sophisticated customers in the industrialized world. We're all proud of the contributions this global team makes daily to a better, more energy efficient, cleaner world through our products and technologies. For my part, I've been extremely fortunate to have worked with this extraordinary group of people over the past three decades at Neo. I'm terribly optimistic about the future and I have all the confidence in the world in Rahim and his team to take Neo to the next level over the next few quarters and years. There will always be ups and downs in our industry and the next 30 years will be exciting to watch. Neo is a unique company at the right time with the right capabilities and the right people to revamp the industry book for the better. I am betting on this extraordinary management team to continue to do extraordinary things. I'll be cheering them from the sidelines. With that, I'd like to open the call for any questions.
Operator: [Operator Instructions] First question comes from Yuri Lynk with Canaccord Genuity.
Yuri Lynk: Hey, good morning, guys. And congratulations, Constantine. And congratulations, Rahim, on the promotion. Yes, so it's uncharacteristic of you as a management team to give some hints of what you think is coming down the pipeline. So the volume recovery that you see developing in the second half of the year, can you provide a little more color on the basis of that? Is that mostly from the conversations with your customers and you can see potential orders building for that period. And what gives you comfort on the pricing side that we're not going to see another downdraft there that might offset any kind of volumes you get in the back half of the year?
Constantine Karayannopoulos: Well, let me start and yes, we tend to form our views from conversations with customers. In fact, our forecasts are based on that -- our premise on that basis, as we continue to update our forecast, talking to pretty well all of our main customers, and our management team was in Japan talking to some key customers there. I'll be Europe next week. We're in constant dialogue with them and we do based on their forecast, we form our views as how the year will unfold. You will allow me not to say too much about prices other than the fact that I was in China this past week after four years, I met with the regulators again and they did tell me they felt that prices may have come a bit too low. But given the fact that, as Rahim pointed out, they've increased the production quotas and the mining quotas, and I think we're probably not going to see a return to $100 neodymium, but I don't expect we'll see $35 neodymium that we saw in 2005. But Rahim has a few more detailed comments.
Rahim Suleman: So I think it would be pretty much the same. I think in terms of what we're seeing in forecasts are continuing to be up and down from various customers. But in terms of sentiments and customers comments about what their order book is looking like later in the year, I think it's a very different tone. And as Constantine mentioned, there is still this destocking that's happening. So I think that translates the difference between the tone of short term orders and what you see structurally happening longer term. And Constantine said it's impossible to bet on rare earth prices at least it's just not our policy to bet on rare earth prices, which is why our business model is structured to kind of not have to deal with that. Although, I wonder whether people believe us anymore because of the way that rare earth prices have behaved and the way our P&L has behaved. But I mean, fundamentally we look under the covers and understand the margins that are available on purchase date. So yes, Yuri, I guess it is a customer sentiment that's driving our views, not us independently doing that. And I think that there is no doubt about the overall macro trends.
Constantine Karayannopoulos: One other point, Yuri. We recently started to see positive commentary on shipments of semiconductors. As the semiconductor shipments increase, those semiconductors will turn into motors and systems and assemblies that use rare earth and rare magnets over the second half. That's sort of just one data point. But as Rahim said, and as I said earlier, our view is formed by more than just reading the tea leaves. It's what we've always done and we will continue to do, which is stay close and talk to our customers.
Yuri Lynk: Okay, that's great. Last question for me, just on the SGTec acquisition. Are there synergies with being able to supply automotive customers in Europe with both centered and bonded magnets? I don't know, is that the rationale and what are kind of the revenue synergies buying that asset?
Constantine Karayannopoulos: Let me start from a high level. There are rarely synergies between selling bonded, sintered or even ferrite magnets to the same customer. However, there is a significant benefit from additional credibility that world level leading skill sets bring to the table. And SG is recognized by a lot of consumer electronics appliance producers as well as automotive folks as a really leading edge producer of magnets and magnetic solutions.
Rahim Suleman: Yes, and Yuri, maybe I'll add three specific comments around synergies. First of all, it's obvious to get the magnetic capability in Europe for us, was very important and very valuable for us, considering all the expansion and capital that we're going to be investing in Europe. So that was an important dynamic for Neo. I think a second synergy exists in SGTec is a fairly small company overall, and I think the exposure to the Neo sales force globally will provide some opportunities for further growth in that business. And then thirdly, SG has done an absolutely fantastic job in assemblies and value add materials. So we sell them our bonded powders, they convert it into more value add materials, and the opportunity for us to gain more exposure to that is we are growing our magnet making business, and if we continue to go and expand the value chain there, I think there's opportunities all around.
Operator: Next question, we have David Ocampo with Cormark Securities.
David Ocampo: Thanks. Good morning, everyone. And I just like to echo Yuri's congrats to both Constantine and Rahim. I guess my first question is just on the lead lag impact. I mean, you guys called it out as three to five months and maybe two questions baked into this one. Is that the lag that we should expect on a go forward basis? So thinking the lower prices will have a negative impact in Q2 and maybe some spillover into Q3. And then second to that is, are there any improvements that you guys can do in terms of your inventory management system where it's not a three to five month lag, maybe it's one to two months?
Rahim Suleman: Yes, I think the answer is yes to both questions. I think that there will be continued spillover. I mean, we talked it was a major decrease at the end of Q3 and we booked a lead lag and we thought we would be through it by now. And the majority of this decrease kind of happened in the month of March, consistent with when the quotas were all increased as well. So unfortunately, it does push out the timing again that we would see this higher cost inventory continuing to persist for a couple of more months relative to current pricing assuming that current pricing doesn't change. I will kind of take the opportunity to just repeat the comment that I made earlier, that at current prices we still make value add margins. It’s actually, I mean current prices are, as I said, still significantly higher than they were three years ago. And in three years ago, the benchmark is reasonable because rare earth prices were at least reasonably steady for 12 or 18 months. So you actually get a better idea of what baselines actually look like when you look at that period relative to the more difficult period of looking at really high margins over the last couple of years. And we spoke to them, we spoke to the lead lag benefits when we had lead lag benefits. So we're doing the same to call it out the lead lag occur, which will continue a little bit here. In terms of inventory management and how to decrease the exposure. I think you're absolutely right. I think we need to do more, and we're working to do more. And that is a combination of both us finding better ways to drive our inventories down as well as finding ways to get commitments from customers on pricing that goes three months out so that we're better managed in terms of seeing a sales price that will show up in a couple of months. I think we've made more progress on both of those elements of managing lead lag. I think there are opportunities to do more and I think it will become a focus factor that we know and can see the value add margins, but we appreciate that it's difficult for others too. So we're going to have to do some work to make that more apparent for things.
David Ocampo: No, that makes a lot of sense. And my last one here is just on the centered magnet facility in Europe. You guys called out that it's on time from a timing perspective. Just curious if there's been any changes to your CapEx plans and how we should be thinking about potential government support for Phase 2 of that expansion.
Rahim Suleman: Well, let's stay with the Phase 1 commentary and I'd say that it is generally on time, which is to say that we would start production in 2025. We are, as I said, Constantine mentioned, we will do the groundbreaking reasonably soon here and we'll announce that we continue to have the same level of customer support and we feel good about our plants, our technology and our ability to deliver the project on time. You're aware of the government support that we've already received. We have lots of different forms of dialogue with government that's talking to providing more and more support into the project and as well as the expansion. So I think we could see both dynamics as folks are aware of kind of regional gaps between government supports that are available and I think there is a desire to catch up on at least some of those and equalize the playing field. So I think we will see more of that. As for Phase 2, I'm going to say we're going to focus on Phase 1 right now, but certainly our planning in Phase 1 does accommodate what would happen to infrastructure and how the plant layout would work in Phase 2. And we would absolutely expect government support to be there for Phase 2 as well.
David Ocampo: Got it. And production starts in ‘25. But curious how if you've received any customer commitments or any indication that you could very well sell out all 2,000 tons of sintered magnets.
Rahim Suleman: Yes, I think we have received sorry, Constantine, you -- . Look, when you say customer commitments, I think we have significant customer engagement across a significant number of programs. And honestly, our desire will be to focus on a rather appropriate scope of programs coming out of the gate. So I think that we feel pretty good about the customer interaction. I'm not sure that we're looking for commitments, but when we talk about our dialogues with customers, we're not talking about things in vague terms. We are talking about specific magnets that we've sent specific samples to with specific quotations on. But I think that folks are aware that, look, we set to build the plant and we set to deliver the material on time. So the customer commitment is there, but it's not going to form a contract or a take or pay contract at this point in the dialogue.
Constantine Karayannopoulos: Yes. Not to sound too sort of preachy, but normally when the qualification process for a magnet or a sensitive component into an OEM platform is a five year process. I'm not suggesting this is how long it's taking us, but we have been sampling this is what Rahim meant by specific programs. These are precisely design magnets that we're sampling with a variety of Tier 1. And the qualification is proceeding. The commitments we have from customers is that they will expedite that qualification to be in place before we start producing large quantities of magnets in late ‘24, early ‘25. But at the same time, firm commitments with contracts and so on is not possible under this scenario until the final magnet is chosen and accepted through the production part approval process by all the automakers. So it's a fairly complex process. And for that matter, if someone started talking about firm commitments from customers for anything going into the automotive industry without that plan having been built in sampling, I think I wouldn't believe that line. So we are in very close contact. They are putting a lot of pressure on us to go faster, to go bigger and so on. So that adds to our conviction that this is the right investment and the right thing to do. So those commitments will come a little closer to that date and they will be firm because we are looking at five, six, seven years of commitment for the entire platform life that we're discussing. I don’t know, David, if that answered your question.
David Ocampo: No, that's very good color. And that's all the questions I had for you guys. Congrats again.
Operator: [Operator Instructions] Question we have Frederick Sebastian with Raymond James.
Unidentified Analyst: Good morning. Guys, you covered a lot of ground during the call, so I don't have any additional questions to ask. I did want to congratulate both Rahim and you, Constantine. Obviously, Rahim for the appointment looks pretty exciting. And then Constantine, it was a pleasure to deal with you over the last many years and wish you all the best. I think your vision to create this business into what it's become is quite commendable and wish you all the best in your retirement.
Constantine Karayannopoulos: Thank you, Frederick. Hugely appreciate it.
Rahim Suleman: Thank you, Frederick. Looking forward to working with you.
Constantine Karayannopoulos: And the pleasure has been mutual. Enjoyed working with you as well and all the other analysts who called us.
Operator: Next question we have here is Ian Gillies with Stifel.
Ian Gillies: Good morning, everyone. I was wondering if you could update us on your views on thoughts around an NCIB or use of an NCIB or potentially even NSIB. You gave a great overview of the cash position and the working capital position, and given where the share price is, it would seem like a good use of capital at these levels. So I'm just curious where you're at.
Constantine Karayannopoulos: Well, let me make the general statement that I agree it would be a good use of capital. And for the tougher part of the answer, I'll hand it over to Rahim. He's going to have to live with it anyways after July so everywhere.
Rahim Suleman: Respectfully, I think the right answer to the question is yes, and perhaps leave it at that, because let's not get ahead of ourselves and say something that we should do in the appropriate way and announce in the appropriate way. But the right answer to the question is yes.
Ian Gillies: Okay, that fair enough. That's really all I had, as it was previously said. A lot of grounds we covered so far on the call today. So thanks very much for that.
Operator: And there are no further questions at this time. Ladies and gentlemen, this concludes today's conference call. We thank you for participating. And ask that you please disconnect your lines.
Constantine Karayannopoulos: Okay. Thanks everybody.